Presentation:
Operator: Good afternoon. My name is Patty and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Intuit fourth quarter and fiscal-year 2006 conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer period. (Operator Instructions) With that, I will now turn the call over to Bob Lawson, Intuit’s Vice President of Investor Relations and Financial Planning and Analysis. Mr. Lawson.
Bob Lawson: Thank you. Good afternoon, everybody, and welcome to the Intuit fourth quarter and fiscal year 2006 conference call. I am here with Steve Bennett, Intuit’s president and CEO, and Kiran Patel, our CFO. Before we get started, I would like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit’s results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2005 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit’s web site at intuit.com. We assume no obligation to update any forward-looking statement. Some of the numbers in this presentation will be presented on a non-GAAP basis. The most directly comparable GAAP financial measures and the reconciliation of the non-GAAP financial measures to GAAP are provided in today’s press release. After this call concludes, a copy of our prepared remarks and supplemental financial information will be available on our Web site. With that, I will turn the call over to Steve Bennett.
Stephen M. Bennett: Thanks, Bob, and thanks to everyone for joining us. Let me start by saying how pleased I am with our results for both the quarter and especially the full year. Fourth quarter revenue of $343 million was up 14% year-over-year. Non-GAAP diluted EPS was a loss of $0.03 versus a loss of $0.04 in the year-ago quarter. On a GAAP basis, diluted EPS for the quarter was a loss of $0.06. QuickBooks delivered another strong quarter with revenue up 13% to $213 million. Turning to the full year: We had a strong year overall, with outstanding growth in our two big businesses, QuickBooks and Consumer Tax. I will talk about why I am feeling confident going into fiscal year ‘07 in a few moments, but first I will turn the call over to Kiran to walk us through the segment results for the year.
Kiran M. Patel: Thanks, Steve. We wrapped up a great year with a solid fourth quarter. As you know, this is our seasonally slow period, so I will focus my comments primarily on the full year. Our QuickBooks-Related segment finished the year with another strong quarter. Revenue of $213 million was up 13% year over year. For the year, QuickBooks-Related segment revenue of $862 million was up 14%, well above what we expected and planned as we entered the year. Our strong growth in QuickBooks this year was driven by continued success in two key initiatives: We acquired approximately 600,000 new QuickBooks customers in fiscal 2006. In total, we estimate that we have approximately 3.7 million active QuickBooks users. We continued to move customers to higher-end versions of QuickBooks with QuickBooks Premier unit volume growing 25% and QuickBooks Enterprise Solutions unit volume growing 42%. Additionally, we continued to see great success in monetizing QuickBooks customers through add-on services. Revenue from our Standard and Enhanced Payroll offerings grew 23% over last year, and revenue from our payments business grew 47%. Next, Consumer Tax had another terrific year, posting its strongest revenue growth since fiscal 2002. Revenue of $710 million was up 25% over fiscal 2005, driven primarily by strong growth on the Web. TurboTax federal units increased 20%, excluding Free File. Pro Tax revenue of $273 million was up 3% over fiscal 2005. The Intuit-Branded Small Business segment had revenue of $61 million in the fourth quarter, up 1% over the year-ago quarter. For the full year, revenue was $252 million, up 9% from fiscal 2005. Note that the comparisons for both the quarter and the year are affected by the sale of Master Builder during the year. Excluding Master Builder, the segment grew 8% in Q4 and 11% for the full year. Our Complete and Assisted outsourced payroll offerings continued to perform well, with customers up 17% year over year. The Other Businesses segment, which includes Quicken and Canada, had revenue of $48 million in Q4, up 17% over the year-ago quarter. For the year, segment revenue was $246 million, up 13% over fiscal 2005. Moving to the balance sheet, the company had $1.2 billion in cash and short-term investments at the end of fiscal 2006. During the year, we generated $595 million in operating cash flow from continuing operations. We also received $279 million in cash from employee stock programs and $172 million in cash from the divestiture of our ITS business. Under the stock repurchase program, we used $4 million to purchase 160,000 shares in the fourth quarter. We did not repurchase stock while the independent review of our historical option granting practices was underway. As you know, we announced on August 16th that this review found no evidence of fraud or intentional wrongdoing and we do not anticipate any restatement of our previously filed financial statements. For the fiscal year, we returned $784 million in cash to our shareholders by repurchasing 31 million shares. We have approximately $507 million remaining in our currently authorized repurchase programs. Before I share the outlook for fiscal 2007, let me describe a change in our reporting segments. To reflect a new management structure and to align our external reporting more closely with the way we think about our businesses, we have changed our business reporting segments for fiscal 2007. The new segments are as follows: We have provided an updated fact sheet on our web site that reflects these new reporting segments. Now let me share our guidance for fiscal 2007. For the first quarter of fiscal 2007, we expect: Before I turn the call back to Steve, let me remind you that we have included revenue and EPS guidance for all four quarters of fiscal 2007 in our press release and accompanying fact sheet. As in the past, we expect to see revenue shifting between quarters due to several factors, including revenue recognition, changes in consumer buying habits, and tactical marketing decisions. Steve.
Stephen M. Bennett: Thanks, Kiran. As I said at the start of the call, we are feeling very good about the year we just ended and the year we just started. We are continuing to execute our growth strategy -- being in growing, high-profit businesses and attractive new markets with large unmet customer needs that we can solve well. We are positioned to grow in these markets by making products and services that are easier to use and offer better value than alternatives. We do this through an intense focus and proven methodology to make customer experiences better on existing offerings as well as launch new offerings that solve important additional customer problems. Our offerings enable us to grow our markets, winning new users by converting non consumption as well as disrupting higher-priced alternatives. We also have an opportunity to expand share of wallet with existing customers by selling additional products and services. Since we have been doing this for many years, we have built large customer bases and ecosystems that generate positive word of mouth and establish competitive advantage that is hard to duplicate. That is what has been going on at Intuit for quite a while, and we are getting even stronger and better at executing this recipe for success. We are optimistic about continued growth in small business and consumer tax. Today, 60% of small- and medium-sized businesses in the U.S. still do not use any specialized accounting software. We also have continued growth opportunity in our large attach service businesses. Payroll and Payments are among our fastest growing businesses. We estimate that our current payroll penetration is only about 40% of the opportunity within the QuickBooks base. Similarly, we have approximately 10% penetration of the payment opportunity just within the QuickBooks base. We will share more about our growth opportunities with QuickBooks, Payroll and Payments at Investor Day on September 20th. In TurboTax, we have significant opportunities to continue to expand the self-prep software category, either desktop- or web-based. Today, 73% of the nation’s tax filers do not use software to prepare their taxes and it is the fastest growing of all tax preparation methods, growing at a compound average annual rate of over 10% over the past five years. We believe the growth is driven because do-it-yourself software is the best value proposition, as evidenced by the highest Net Promoter score of any tax-preparation method. We believe our “Net Promoter” efforts to create delighted customers and positive word of mouth will continue to grow the self-prep category well into the future. This effort drives growth by helping us acquire more new users as well as increase the retention of existing users. With approximately 70% to 80% of our revenue coming from recurring or highly predictable sources, we have a strong, stable revenue base from which to grow. Add to that our business model, which delivers margin leverage and cash generation, and we are positioned for success in fiscal 2007 and further into the future. With that, I want to thank our shareholders for your continued support, and thanks to all the Intuit employees who helped deliver another great year. With that, let’s get to your questions.
Operator: (Operator Instructions) Our first question comes from Heather Bellini of UBS.
Unknown Analyst: Hi, this is [Ampart] for Heather. I just wanted to get a feel for this 8% to 12% growth behind QuickBooks segment. What would be the primary drivers next year? Would it be volume growth, or are you looking at pricing leverage, or are you looking at some new product offerings there?
Stephen M. Bennett: I think it will be the same things that we have done in the previous five-plus years, which is we work all of the elements of driving revenue and profit growth. Number one, unit growth, because we have great volume leverage. You have seen that we have continued to ramp up the number of new users we have acquired. In addition to that, we have mix as more and more people are buying higher valued, higher-priced products. We also think we have some potential, some price opportunity within QuickBooks, and then we continue to manage cost and expenses well, so we continue to work all four of the levers that drive revenue and profit growth, each based on our ability to maximize the total based and the current competitive market that we are in.
Operator: Our next question comes from Laura Lederman of William Blair.
Laura Lederman - William Blair: I would like to follow-up on the last question. You just indicated that you would be looking at increasing the price of QuickBooks. Can you talk about what you have increased pricing in the past and what types of price increases you are looking at? I realize you do not want to be too specific, given the customers out there, but if you could give us a sense of that, that would be great.
Stephen M. Bennett: I think we look at all the different products on a continuous basis. You know, we do different things with rebates. Last year we had a rebate that we have eliminated this year, a $20 rebate for QuickBooks Pro based on the Microsoft entry, so I do not think there is any specific answer that I would want to give going into the year, other than to say that we work all of the levers, volume leverage, acquiring new units, upgrade rates, price and mix plus expense to deliver the kinds of great results we have had the last two years. I think it is important to realize in both of our big businesses, TurboTax and QuickBooks, our businesses have performed better than we expected in both of the last two years, and we go into this year with more momentum than we have ever had. Hello? Hello?
Operator: One moment, please. Our next question comes from Adam Holt of JP Morgan.
Adam Holt - JP Morgan: Good afternoon. First, I have a question about the fourth quarter. It looked like you actually saw an acceleration in QuickBooks revenue against what appeared to me to be the toughest comp of the year. You had some puts and takes on the unit side. It looked like simple start basic was maybe down year on year, but you saw real good strength in some of the outsourcing businesses, and at the enterprise level. I was wondering if you could identify what the one or two factors were that really drove that acceleration to QuickBooks, given some of the movement around units.
Stephen M. Bennett: I think one of the things is that we continue to improve our marketing. We continue to upgrade our sales force, our tele-sales force. We have a strong team. We hired a new senior leader about six months ago that came to us from Oracle, who has been doing a nice job. We hired new marketing people. We dramatically improved our web marketing skills. We have always, Adam, had a big focus on making our products drop-dead easy to use and better value, and we won with products. I think what you are seeing now is that we are starting to really get traction on the marketing front. It was clearly true of our consumer tax business this year. So I think you actually see us now firing on the two big drivers of growth, which is better offerings and also better marketing, and I think that is what you are starting to see and drove performance in the fourth quarter.
Adam Holt - JP Morgan: Just a follow-up on QuickBooks, if we look at how the year will flow next year, obviously the comparisons are tougher in the first-half, do you think the growth to get to that 8% to 12% will be a little bit more back-end loaded, or should we still look for the majority of the growth in the big kick-off quarters for QuickBooks?
Stephen M. Bennett: I think every year, it is hard with year-over-year comparisons because the timing can shift, and I think it is -- I think the quarterly splits will probably be more like consumer tax. We might change the time when we launch, if we might pull it in a little bit, that could dramatically change the quarterly comparisons, so I would be nervous to give you too much information here, but I would be nervous to have you just look at the patterns for last year and use those, so I think -- Bob, what would you say to that?
Bob Lawson: I think that is fair. I think for the year, 8 to 12, we feel great about 8 to 12 and we will continue to see some quarterly shifts based on launch dates and other factors, you know, mix, that kind of thing. Subscriptions, as you know, Adam, has also impacted revenue a little bit in QuickBooks, where over the last couple of years, we have grown our deferred revenue balance as a greater percentage of our QuickBooks units are sold on subscription.
Adam Holt - JP Morgan: Just one last question, if I could, on the guidance. Historically, you have guided really low expectations for new product areas. I was wondering if you could talk about two areas in particular, and what if anything is in the guidance for next year, and that would be the healthcare product as well as, on the tax side, the assisted [Piron] version tax solutions. Thank you.
Bob Lawson: Nothing material.
Adam Holt - JP Morgan: Great. Thank you very much.
Operator: Our next question comes from Michael Millman of Soleil Securities.
Michael Millman - Soleil Securities: Thank you. I have several questions. First, the 30,000 foot question -- long-term, you are looking for double-digit revenue growth, but each year, you start out with less than that. Could you talk about what it might take for you to look for double-digit revenue growth prior to the year? Then, just some quick questions as to your share repurchase. Last year, you reduced shares by about 16 million, you are guiding to about 5 million this year. Also, could you give us the R&D and G&A growth this year, excluding stock comp? Thank you.
Stephen M. Bennett: On the double-digit growth, I think the hardest thing for us to predict is how fast the category is going to grow. I would defy anybody on the phone to try and tell me right now how fast this software self-prep category is going to grow next season. There are so many variables in that, so therefore, we look at the facts historically, and this year, it grew a lot faster than we thought. We would have never planned for 56% unit growth on the web, and that is why we dramatically exceeded expectations. It is a very hard thing to do, to sit here and bank on aggressive category growth that is much bigger than what the historical compounded average has been of 10%. I think it makes sense to not build more market growth in the [happens] on something that we only control indirectly. On the share repurchase, do you want to take that one, Kiran?
Kiran M. Patel: Michael, our policy strategy really has not changed, as we continue to generate strong cash flows from the growing business, we are committed to returning cash to shareholders. Last year, we repurchased about $784 million, so our overall strategy has not changed. The difference between the delta last year versus our outlook is really an estimate on what we think employee stock option exercises might be, so it is at best a guess at this stage, but we factored that in as the share price increases.
Stephen M. Bennett: On the R&D and G&A, the simple message last year and the simple message for ’07 is R&D is growing a lot faster than G&A, and G&A is growing less than revenue, R&D is growing faster than revenue, as we are reallocating resources to things like we have been doing the last two years that are going to drive faster, long-term growth.
Kiran M. Patel: Just to add to that, R&D grew 120 basis points this last year, and we funded that with 160 basis point reduction in selling and G&A costs.
Michael Millman - Soleil Securities: What do you expect the ’07 R&D growth?
Stephen M. Bennett: We will tell you at this time next year.
Michael Millman - Soleil Securities: Thank you.
Stephen M. Bennett: You will have to guess on that one, Michael.
Operator: Our next question comes from Greg Smith of Merrill Lynch.
Greg Smith - Merrill Lynch: Good afternoon. In the quarter, was there a Quicken loans loyalty payment? The interest in other jumped quite a bit. I think you had the same thing last year.
Stephen M. Bennett: Yes.
Greg Smith - Merrill Lynch: Okay, can you size that?
Stephen M. Bennett: No.
Greg Smith - Merrill Lynch: Okay. I can do a little math.
Stephen M. Bennett: Sorry, Greg, $7.5 million.
Greg Smith - Merrill Lynch: Okay, thank you. Steve, could you talk about the acquisition pipeline? Is there any chance you could do anything larger? You guys have been fairly quiet, just small tuck-in stuff. Any reason to expect anything different over the next 12 months?
Stephen M. Bennett: I think it is a fair question. Because, as I talked about at investor day last year, we have really focused an intense amount of energy on our two big businesses for the last few years -- the last three years, actually, and only made one material acquisition, in IMS that has turned out to be a home run for us. I think based on how the company is running is we have managerial capacity to be looking to accelerate revenue and profit growth through acquisitions, so let’s see what happens as we go through. It is something that is on my radar screen now, and it had been off the radar screen previously, but we are only going to do really great deals. As I said before, we made mistakes in some of the companies that I bought before, the standalone platforms that were too small. Most of the stuff you will see now would be stuff that is accretive or adjacent to our big businesses, which are small business, tax, and accountant. I think it is a good question and I think you might see some things happen during the year, but obviously it is too early to predict on that. But I will tell you because of the good shape the company is in, and my focus on continue to grow faster, there may be some things that we will see in the year, if we can find the right kind of candidates and get deals closed.
Greg Smith - Merrill Lynch: Then, just back on the options investigation, you have done your internal review, but should we expect to see or hear anything? Let’s say the SEC and the Department of Justice come to the same conclusions. Should we expect any announcements from them, or from you? Or is it possible it just kind of lingers into perpetuity?
Stephen M. Bennett: What we will do is, depending on how they react, the uncertain thing at this point for us is whether they will react or not, but we have a meeting with them scheduled coming up here to present the findings, and if they have anything they say, like it is closed, we will communicate it. If not, sometimes they just do not close the loop, so we will have to wait and see.
Greg Smith - Merrill Lynch: Thank you.
Operator: Our next question comes from Jim Macdonald of First Analysis.
Jim Macdonald - First Analysis Securities: Following up on Michael’s question on guidance, any thoughts on why you do not widen your ranges? I mean, 8% to 10% revenue growth is pretty narrow, as we found out this year. My second question is with your new payroll and payments segment, does that say anything about your commitment to outsource payroll, and just some thoughts on why the growth is slowing for that segment next year?
Stephen M. Bennett: I think the answer is no, it does not make any statements about outsource payroll, and there is no new news versus what we have been talking about, Jim, in the past. With respect to the range, the fact of the matter is the wider the range, the more you guys go to the top, so we decided to keep it narrower because as we get bigger, 3% range is $60 million or $70 million, and the wall of large numbers starts to help us narrow the range, so we feel pretty good about the numbers. The wildcard again is in our big, big businesses, how fast does the category grow? We are going to do everything we can to grow it faster, by the way.
Jim Macdonald - First Analysis Securities: The other part was you have predicted the payroll and payments to slow down next year. Any thoughts around that?
Stephen M. Bennett: The better we execute, the faster they will grow, so I think we still have some businesses in there like the outsource payroll business that is not growing as fast, but at the end of the day, 12% to 15% growth in this segment now, which is over $500 million, is pretty solid growth. It is recurring revenue. They are businesses that we love to be in, and we are working hard to continue to grow them faster.
Kiran M. Patel: Jim, we benefited in ’06 from a price increase we took in our payroll business in ’05, which annualized and into the ramp of new payroll offerings, but those were better comps ’05 to ’06.
Jim Macdonald - First Analysis Securities: Thank you.
Operator: Our next question comes from Scott Schneeberger.
Scott Schneeberger - Lehman Brothers: On cap-ex, it sounds like the guidance for next year is about 60%, 70% higher than this year. Could you talk a little bit about that, please?
Kiran M. Patel: Scott, it is mainly related to lease-hold improvements as we expand facilities in a couple of our locations where we have simply run out of room as the business grows, and we add to the talent pool of the company.
Scott Schneeberger - Lehman Brothers: So employees and facilities? Can you be more specific on what business units those are supporting?
Stephen M. Bennett: New facility in San Diego for consumer tax.
Scott Schneeberger - Lehman Brothers: Thank you. Also, we talked a little bit about some of the components of your margins, the cost component. Could you talk a little bit about sales and marketing directionally? Are you saying you are doing it better, I guess, just as a percentage of spend? Is that going to be going up, or -- any color you can add there. Thank you.
Stephen M. Bennett: I think what we clearly want to do is grow R&D faster than the average. We want to grow G&A on the other end of that spectrum, as well as our investment in systems and infrastructure. Since we have bitten off the big chunks and done the 11-I upgrade and with stocks and everything, we have made a lot of investments that we are now going to get volume leverage on. I put marketing in the middle, that we believe we have a lot of opportunity to be more efficient on our spend. At the same time, in a lot of new things we are doing, we are getting a good return on the money we are spending, so in taking a zero-based mindset about this, what we want to do is be more efficient. In addition, as we prove that efficiency, I think you will see our returns go up and we may spend more. I think we are getting pretty good indices or indicators on the return we are getting from marketing spend, but I think we still have a lot of the way we used to do it that we need to modernize, so first let’s clean out the closet and zero-base our spend, and at the same time -- so this may be a repositioning year where we are relatively flat as a percentage of sales, but it could go up because we are seeing some good returns from some of the new marketing programs that we have invested in. What would you, Bob, or Kiran, if you would add anything to that? So one side going down -- G&A and infrastructure -- one side clearly going up, which is R&D, and marketing probably in the middle, which is the easiest one for us to pull too, because the other two are a lot of investments in people, but this one is really a lot of investment in programs, so we have more flexibility in the marketing spend based on what we are learning as we go through the season.
Operator: Our next question comes from Brent Hill of Citigroup.
Brent Hill - Citigroup: Thank you. Good afternoon. The guidance you are assuming for next year is modest margin improvement off a 28%. Can you talk about some of the levers in the model where you are seeing improvements in efficiency and how we should still think about long-term op margins for the company?
Stephen M. Bennett: I will start with the second answer first. We still see a 3 in front of op margins. We are not solving for that, but because of the volume leverage in our business models, every year we seem to generate operating profit leverage as long as we grow and we grow units. So the number one driver of the margin improvement, as it has been, is volume leverage. Our high fixed costs, low variable costs businesses as we continue to get better at acquiring new customers and selling more units, we have nice economics and profit leverage from that. The other stuff, Brent, is the same stuff I mentioned earlier. We work price, we work mix, and we manage expenses more tightly. I would argue over 50% of the improvement is volume leverage, so it is the same four things we work every year, and though we are not solving for it, I do expect that we would have a three in front of it in the next few years.
Brent Hill - Citigroup: If you could just talk a little bit about the vertical strategies, some of the biggest opportunities you are seeing over the next year, beyond healthcare that you are working on.
Stephen M. Bennett: I would focus investors on small business, tax, which is both consumer and pro, and we have talked, and we will talk at investor day a little bit, about healthcare, which could be potentially the third leg of the stool, although we do not expect any material revenue from that next year. I think those are the businesses I would focus investors’ attention on. They make up the biggest growth opportunity. That is what has fuelled our growth and I think all the other stuff is doing fine, but it not going to power the growth of the company in total.
Brent Hill - Citigroup: Thank you.
Operator: Our next question comes from Daniel Cummins of Banc of America Securities.
Dan Cummins - Banc of America Securities: Thank you. Could you tell us, of the 600,000 new users added in QuickBooks this year, proportionately, could you give us some idea how many came on the Premier and enterprise edition? Is it in similar proportions to the unit growth, or is it vastly different? Is it changing year over year? With respect to the product roadmap that we will hear more about here in the fall, do you expect it again to be vastly skewed toward enterprise and less so at simple start and even the online edition?
Stephen M. Bennett: Absolutely not. We think there is huge growth opportunities in the entry level. We think there is huge growth opportunities with QuickBooks enterprise, and we still think there is big growth opportunities in what we call main street, which is QuickBooks Pro and Premier. We have aggressive plans to expand our penetration in the category in all three of those areas and we have had great success over the last two or three years in all of those categories. We do not break out new users for each one of those, but we get new users in all of the categories and a lot of the higher-end stuff is upgrades, but we do get new users from enterprise, premier, pro, not just simple start, but we do not split the details out to that level, Daniel.
Dan Cummins - Banc of America Securities: Is there any reason why, anything you could point to why the online edition subscriptions dipped this quarter?
Stephen M. Bennett: I do not -- I am not -- if that is, it is a surprise to me. Last time I looked, we had grown 100% in the last year. We are almost 80,000-plus subscribers, so I do not know where you got that. Is our fact sheet…we do not have a separate line just for OE, do we? Do we? Okay.
Dan Cummins - Banc of America Securities: Yes, so there are 6,000 subscriptions. It is the lowest it has been for a couple of quarters. I was just curious.
Stephen M. Bennett: Don’t know. It is probably $5 million in revenue out of $2.3 billion.
Dan Cummins - Banc of America Securities: Okay, thank you.
Operator: Our next question comes from Phillip Rueppel of Wachovia Securities.
Phil Rueppel - Wachovia Securities: Thank you, and good afternoon. A couple of questions around consumer tax. The commentary seems to suggest that ’07 will be much like ’06. Is there anything on a macro level? I know going into ’06 we knew that there would be likely changes to the FFA. Is there anything along those lines that could affect ’07, either positively or negatively? Secondly, the web growth, as you had mentioned, was one of the key reasons for up-side. Is there any reason to think that the differential growth, or that we will not still see the same kind of growth rates on the online side as we move into ’07?
Stephen M. Bennett: A couple of quick thoughts. I think two thoughtful questions. The fact is, the tax prep, a 135 million unit market, grows about 1% a year, and desktop software is gaining share of that 135 million unit market, so I think it is an important thing for investors to understand that more people are choosing to do their taxes using self-prep boxed software or CD than other methods. It is just that the web is growing much faster than even the desktop, and I think that is an important thing, because there is a common misperception that everybody is migrating from a desktop product to a web. A desktop product is still gaining share of the 135 million tax prep market. Look, we would have never, in terms of growth rates, we would have never predicted last year, box software grew slower than we thought and the web grew way faster. It is hard for me to -- I think the web will still grow faster for the rest of my life, but I do not -- it is hard to predict that the growth could be what it was last year. I hope it is, but it is hard to predict at this point, Phillip.
Phil Rueppel - Wachovia Securities: But then it sounds like it would then be safe to say that from a product and positioning and marketing perspective, you are still going to be aggressively pushing the desktop edition, because there is still growth potential there.
Stephen M. Bennett: Yes, they are both great businesses, and so they are both great businesses. We love the desktop business. Frankly, our strategy is to target self-prep people and however they want to do their taxes, using the desktop product or the web product, is fine with us. They are both great businesses. Your other question about are there any things going on in a macro level, as we talk about frequently the only high level question is I do not see any big change in FFA. We signed a four-year extension a year ago. It is a political year. It is an election year, so there will always be a lot of noise in Washington. I think that is the only uncertainty, but I do not expect anything to change for this season in terms of high-level things that could impact the category growth.
Operator: Our next question comes from Glenn Greene of ThinkEquity Partners.
Glenn Greene - ThinkEquity Partners: Thank you. Good afternoon. Just a couple of questions, also on the tax side. I was just wondering if at a high level, you could just talk about the retention you saw this year, and whether that was a contributing factor to the unit growth or what order of magnitude?
Stephen M. Bennett: Off the top, I thought we were up like three points, weren’t we? It wasn’t? Okay, I have last year’s data then.
Bob Lawson: I do not have the numbers off the top of my head.
Stephen M. Bennett: We will need to do that at investor day. We will give you that data in about a month at investor day, Glenn. It sounds like from the way they are looking at me, that it was not up year over year, so that could create an opportunity for us.
Glenn Greene - ThinkEquity Partners: Interesting. Then the 10% to 15% revenue growth, should we assume kind of similar to this past year that really that is going to be driven almost entirely by volume growth? I mean, you have probably three points from mix, but are you thinking about any pricing leverage?
Stephen M. Bennett: I think that I would go into the season saying that unit growth is the focus in this business and for us, it is all about growing units. TurboTax over serves customers that use all -- over serves customers at the low-end of the functionality spectrum and it under -- sorry, we price it too high for people that do not use much of the functionality and we price it way too low for people that use all the functionality, so that is something that we are working on figuring out.
Glenn Greene - ThinkEquity Partners: Finally, and obviously it is early, but you kind of alluded to healthcare and it is certainly not going to be meaningful for ’07, but maybe you just want to give us a progress report there? Is this a 2008 type of thing that we should be looking for that will be meaningful?
Stephen M. Bennett: Stay tuned for investor day and we will share what we are thinking about that. I think that this is still in a state of flux for us. It is an investment we are making. The big thing is we still have to prove that we can solve an important problem well, and so we have a new product coming to market that we think will do that, but we have to get it right, so it is too early to speculate on that until we get a product in the market. But we are investing time. As I said, I am investing a bunch of my energy on this, because I do think it has a big opportunity, but we still have to prove that we can solve an important customer problem well and get paid for it. Since it is a new market, there is some uncertainty there, and you will hear more about our strategy on September 20th, but no matter what we do, it will not be material to our ’07 financial results.
Operator: Our final question comes from Vick Churamani of Lehman Brothers.
Vick Churamani - Lehman Brothers: Good afternoon. Just trying to get a better sense on the mix for QuickBooks. Can you provide some color as to what the mix was for this year for the higher-priced products, and what would be your assumption going into fiscal ’07 as to how much that would change?
Stephen M. Bennett: I think the best data that we can give you is the stuff in the fact sheet. You can look at it. We gave it to you over the last two or three years, and you can look at the patterns and apply your wisdom and insight to project where the lines are going, but in a macro level, we would expect that we continue to acquire new users in all of the products and that we continue to see more migration up the line as we continue to make the products better, and so you see those trends. Again, the reason it is hard for me to give you a number is the better we do, the more users we acquire and the more we move up the line. Mix is the output of those two things. We make money on a simple start customer, so the more customers we get, the better off we are.
Vick Churamani - Lehman Brothers: Thank you.
Operator: Gentlemen, I am not showing any further questions. Would you like to proceed with any further remarks?
Stephen M. Bennett: I just thank everybody for their questions and for your support. We came off the best year we have had since I have been the CEO last year. We are very excited about the coming year. Our big wildcard, as you have talked about, is how fast can we work, how fast does the category grow, and the better we do, the better we execute, the faster the categories will grow. I like our competitive position and I like the progress we are making on execution, but there is some uncertainty. We feel confident about the guidance we have provided, and we feel even more confident about our capabilities as we go into these years. Thanks for your support and we will see many of you at investor day on September 20th. Good-bye.
Operator: Ladies and gentlemen, thank you for participating in today’s conference call. This concludes the call. Everyone have a great day.
Copyright policy:: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE CONFERENCE CALLS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S CONFERENCE CALL ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE CONFERENCE CALLS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S CONFERENCE CALL ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!